Operator: Welcome to the Techprecision Corporation First Quarter Fiscal 2013 earnings call. [Operator Instructions]. I would now like to turn the conference over to our host Jeff Stanlis with Hayden IR. 
Jeff Stanlis: Thank you, welcome to everyone joining us today. On the call with us are Jim Molinaro, Techprecision's Chief Executive Officer, and Richard Fitzgerald, Chief Financial Officer. I would like to mention this call is been simulcast on the internet at our website www. Techprecision.com along with a slide presentation, if you have not already done so now will be a good time for you to go to the website and download the slide presentation. In addition, the presentation should be available on today’s webcast. If you turn to slide 2, before we begin may I remind all listeners that’s management's remarks may contain forward-looking statements which are subject to risks and uncertainty and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the Safe Harbor for forward-looking statements as contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today and therefore we refer you to a more detailed discussion of risks and securities in the company’s financial filings with the SEC.
 In addition, projections as to the company’s future performance represent management’s estimate as of today August 14, 2012. Techprecision Corporation assumes no obligation to revise or update these forward-looking statements. With that out of the way, I would like to turn the call over to Jim Molinaro, Techprecision CEO to provide opening remarks, Jim? 
Jim Molinaro: Thanks Jeff. Good day everyone and thank you for joining us. It's been less than a month since our year end earnings call which was held on July 16th. So for this Q1, fiscal ‘13 earnings call we will provide update on to the key points discussed during our last call. On the call today we will follow an agenda that will include a brief overview of our first quarter; Rich Fitzgerald will then detail our Q1 fiscal ’13 financial results. I will follow-up with operational and business updates in our Ranor and WCMC divisions and close with updates to our expected fiscal 2013 pipeline and outlook.
 If you please turn to slide 4, the fiscal first 2013 included many positive milestones. We are expecting the second quarter to represent the turning point for our company and the Ranor transition and expect to be profitable for the second half of this year. As previously mentioned in our recent Q4 call, our Ranor division experienced heavy volumes of complicated first article or prototype projects throughout fiscal 2012 and early part of Q1 fiscal 2013 as we moved to offset Ranor’s largest customers migrating solar production from domestic sources to our WCMC facility production capabilities in China so they can be closer to their customers. The prototyping and specifically pricing of the prototypes adversely impacted our revenue mix, gross margin, operating margin and net income over the last several quarters.
 One milestone in the quarter was that most of the remaining prototype projects shipped during Q1 of 2013 and we believe we have turned the corner on contract losses at the Ranor division. As most of you know we brought in new leadership at our Ranor division and Bob Francis, the new President and General Manager of Ranor has now completed the transition of his Senior Management team with the implementation and new management for the sales, engineering, production planning and financed departments at Ranor. Mr. Francis and his new team are now positioned to turn the prototype opportunities into significant profitable production opportunities along with ongoing performance improvements during 2013 which is another milestone for the company. Customers have reacted favorably to our changes at the Ranor division and feedback continues to be very positive.
 We continue to be optimistic for significant growth in the medical, nuclear and defense sectors and this is further supported by achieving one of the largest backlogs in the last 5 quarters. As of July 31, our backlog has reached $32.4 million. As significant as this backlog number is, it is noteworthy that only $4.5 million of this backlog comes from our largest historical customer. This demonstrates our ongoing success at diversifying the customer base beyond alternative energy and specifically beyond solar.
 Our backlog and pipeline support our fiscal 2013 strategic plan to return this company to profitability and growth and is further evidence that we are turning the company around going into the final 3 quarters of fiscal 2013. Another positive note for Q1, fiscal 2013 is our WCMC division in China began production of sapphire chambers and production volume shipments have commenced during fiscal Q2, 2013. Please turn to slide 5. Historically revenue fluctuations have been a major part of our business as there has been too much dependence in just few major customers and products. When viewing this slide of our product mix by market segment you can see a significant portion of our business historically was generated by a small number of major customers, the largest being our solar customer. The balance of our business consistent of discrete projects for numerous other customers. Our largest customer since fiscal 2008 was the leader in solar energy space enabling high quality multi-crystalline wafer production.
 This customer accounted for 34% of our net sales in fiscal 2012 as compared to 55% of our net sales for fiscal '11. Fiscal year 2011 sales of these customers were exclusively through our Ranor division, while in fiscal 2012 we generated over $4 million in sales from our WCMC division in China. It is important to note that this customer represents just $2.3 million of our June 30, 2012 backlog. Even though the backlog has grown to its highest level in 3 years, this compares to the historical backlog levels from GTAT of $10 million to $16 million.
 Also evident on this chart is the increasing contribution from nuclear and medical customers. We continue to focus on strategic comparatives and expect to see significant growth in the medical, nuclear and defense sectors for Ranor over the balance of fiscal 2013 and beyond positioning us for much greater revenue diversity as we move forward. Now I will turn the call over to Rich for a more in-depth review of our financials, Rich? 
Richard Fitzgerald: Thank you Jim. Please turn to slide 6 if you would, for the 3 months ended June 30, 2012 revenue was $7.1 million compared to $9.2 million in the same fiscal quarter one year ago. The primary reason for the $2 million or 22% year-over-year decline in revenue was the complexity of a heavy mix of prototype and first article projects primarily at Ranor in Massachusetts. Also our WCMC subsidiary spent most of the quarter preparing to transition from solar furnace manufacturing to sapphire furnaces and as a result the revenue base at WCMC was largely limited to field service upgrades and repairs resulting in revenue contribution for Q1 of $400,000 or $0.4 million. As WCMC migrates into volume production over the balance of 2013 and specifically in Q2 that begins we look for its revenue in margin contribution to become more significant over the balance of fiscal 2013.
 From the perspective of sales mix within the first quarter of fiscal 2012 reported revenue from alternative energy customers was $1.7 million or 24% of total Q1, 2013 revenue. This compares with $5.3 million or 57% of total revenue reported during the comparable first quarter of fiscal 2012 one year ago. Q1 of fiscal 2013 sales to customers in the commercial and industrial sector amounted to $0.5 million or 7% of consolidated Q1 sales while revenues to customers in the defense and aerospace sector during the quarter totaled $3.4 million or 48% of the quarterly revenue. During the quarter ended June 30, 2013 sales to the nuclear power sector were $0.6 million or 9% and sales to medical device sector were approximately $0.8 million or 12% of the total quarterly revenue figure.
 Gross profit for the quarter ended June 30, 2012 was approximately $1.1 million or 15% of sales compared to a gross profit of $2.4 million or 26.4% of sales for the first fiscal quarter of last year. Contract losses of $0.3 million incurred during the first quarter of fiscal 2013 on U.S. production resulted in significant gross margin erosion within the quarter. As Ranor transitioned away from this high volume of prototype and first article production back to a mix of business that features repeat production work, margin should rebound to historical levels over the balance of 2013.
 We expect Ranor’s mix of business to shift back to featuring a greater percentage of repeat production as we migrate through fiscal 2013. Turning to expenses, selling, general and administrative expenses for the first quarter were $2 million which compares to $1.7 million of SG&A expense in the year ago first quarter of June 30, 2012. This reflects an increase of $0.3 million or 15%, the majority of the year-over-year increase is attributed to higher staffing levels and payroll related costs of $0.2 million in the U.S. and China.
 The company has incurred approximately $0.1 million of consulting and professional fees within the quarter. Net loss for the quarter ended June 30, 2012 was $0.7 million or $0.04 per share basic and fully diluted based on 18.4 million shares basic and fully diluted shares outstanding. Due to the loss position in the first quarter, all common stocks were deemed anti-dilutive for the quarter ended June 30th, 2012. This compares with net income of $381,000 or $0.02 per share basic and $0.01 per share fully diluted based on 15.5 million basic shares outstanding and 24.2 fully dilutive weighted shares outstanding in the prior year Q1 period.
 As of July 31, the company’s backlog was $32.4 million as referenced by Jim earlier on this call which is up from $26.3 million in the quarter ended June 30, 2011, one year ago. The fiscal 2013 backlog includes approximately $2.3 million and open purchase orders from the company’s largest customer while the company’s backlog at June 30, 2011 included $6.5 million in purchase orders from the same customer. Backlog at June 30, 2012 included $2.3 million of open purchase orders issued under a $9.5 million purchase agreement executed back in February of 2012. We expect to receive additional purchase orders for the balance of the year $9.5 million purchase agreement over the remainder of fiscal 2013.
 Turning back to March 31, 2011 the last time we had a backlog of this magnitude which was $32.5 million, it included $10.8 million of open purchase orders from our largest customers. Again the significance of our July 31, 2012 backlog is that we have reestablished this threshold of backlog but with lower customer concentration and better diversification within the backlog. Please turn to slide 7. Turning to our liquidity and balance sheet at June 30, 2012 we had $4.4 million in cash and cash equivalents and net working capital of $9.6 million as compared to net working capital of $10.2 million back on March 31, 2012. This represents a decrease of $0.6 million or 6% during the first quarter of 2013. Cash provided by operations was $1.9 million as compared to cash provided by operations in Q1 of the prior year of $1.3 million.
 Cash flows from operations during Q1, 2013 were benefited by the receipt of $0.6 million and accelerated tax refunds and also higher volume of advance payments from customers on open projects in Q1, 2013. Turning to long term debt, total debt outstanding decreased by $342,000 within the quarter to $6.8 million total debt outstanding as of June 30, 2012 and this is the reduction from the base we had back at March 31, 2012. With that brief financial recap I would now like to turn the call back over to Jim for some additional remarks. Jim. 
Jim Molinaro: Thanks Rich. If you would please turn to slide 8, as we discussed fiscal year end conference call, we received information from several customers which reinforces our outlook for growth in fiscal 2013 and should expand Ranor’s capacity for specialized production volumes allowing us to migrate away from heavy mix of prototyping.
 Several of these opportunities were described in the shareholder letter which was issued on August 2 and I wanted to take this time to highlight a few. Mevion received FDA 510(k) clearance for its S250 proton therapy system in June this year. Techprecision has been providing exclusive manufacturing services to Mevion for the Mevion S250, a first of its kind single room proton therapy system in the United States. In this regulatory clearance sets the stage for significant growth. As of July 31, our backlog for the medical sector stood at over $6 million. This is a significant increase compared to the $1 million we shipped for this sector in all the entire fiscal year 2012. Subsequent to the end of June quarter Mevion shipped its second proton beam cancer treatment system, this time to Robert Wood Johnson University Hospital in New Brunswick, New Jersey, the flagship cancer hospital of the Cancer Institution of New Jersey and the principal teaching hospital of the Robert Wood Johnson Medical School. 
 This is the second system delivered in the past 9 months by Mevion. In addition, our key customer Alpha Omega systems received its NRC approval during first quarter and we expect increased business from the production of transport casks to facilitate those customers' efforts. These isotope transport casks have been submitted for physical transport which is expected by second quarter of calendar 2013 creating further demand for the transport casks. Techprecision’s Ranor division passed the NRC manufacturing process and quality audit for the cask production in March of 2012.
 In addition last week we announced a $1.5 million incremental order to produce these nuclear isotope transport casks for Alpha Omega systems which as of July 31, put our cask backlog at over $3 million. We look forward to additional growth opportunities as this market discontinues the use of the older cask that do not meet current NRC requirements. The defense and aerospace sectors also continue to grow and as of July 31, the backlog in these sectors was over $12 million regarding the alternative energy sector as of July 31, our sapphire our products accounted for over $4.5 million of the current backlog.
 Please turn to slide nine, our current strong backlog for products in the medical, nuclear, defense and sapphire sectors validates our strategy to expand our business into areas that have shown increasing demand in which we believe can generate a higher margins. The positive responses we have had from customers in these sectors reflect our ongoing ability to maintain development, expand relationships within these specific industries for long term growth.
 We look forward to continuing quarter-over-quarter improvements and revenue and bottom-line results, with that I will turn the call over to the operator for question and answer session. Operator? 
Operator: [Operator Instructions]. We have a question from Greg Garner with Singular Research. Please go ahead. 
Gregory Garner: If the Ranor facility is shifting away from or improvement in the pricing for the prototype and first article, does this also mean that volume is decreasing as we are moving into 2013 or we are really talking more the shift in the pricing for those? 
Jim Molinaro: If we are to enter into large scale prototype projects I assure you that Bob and his new team will make sure that it's priced correctly and why we are saying this is the prototyping’s have wound down and those were the prototypes that were not priced correctly and again Bob and his team are have the right processes and place to make sure that doesn’t repeat itself. So, we are being mindful that we really, our strategy is not to do one of the kinds and build the company around one of a kind, their strategy is as reflected in slide 8 is to build the company around repeat products that have the technical advantages that we can serve both electrical mechanical parts and more importantly predictable and expandable volume. So that’s the model we want as continued products versus one of a kind. In order to expand and bring on more products that are repeat, you do have to take on prototypes but you don’t build your company around that. 
Gregory Garner: And the commentary, Rich you had about the gross margin coming back to prior levels during the year, I guess I am trying to understand when does prior pricing item totally work their way through so that we can see those higher margins, that’s still how far in the future. 
Richard Fitzgerald: That will continue to build quarter-over-quarter, right now I can tell you that 2/3rds of our projects closed in this quarter were at an appropriate margin. The rest of it was prototyping at a breakeven or in some cases a contract loss. So as we bleed out these projects that have high degree of risk and also contract loss risk and get into production volumes both the WCMC and at Ranor, you see those margins start to return to our targeted levels which are 28% to 32%. 
Gregory Garner: So we are still talking a couple of quarters till that happens? 
Richard Fitzgerald: No I wouldn’t say that, I would say that most of the majority of the prototyping, the heavy volume has ended at Ranor, a little bit that bleeds out into July. But it's nowhere near the pricing issue or the contract loss issues that we encountered in Q4 and a little bit in the front end of Q1. So we think the storm has passed to a large extent on these and we have got Jim and Bob and the whole business development team focused on making sure we priced for whatever prototyping risk we might have going forward. And again as I look at the mix of business in Q2, Q3, I see it migrating towards much more of repeat production volume production orders which give us more visibility and certainly the ability to obtain and maintain a better margin. So it's really a mix issue Greg and the mix is shifting in the right direction, it's been shifting in a difficult direction in the last 9 months. 
Gregory Garner: And the shift to the nuclear on the isotope transport cask with $3 million in the backlog, how many units is that? 
Richard Fitzgerald: Greg I am going to respectfully request to stay away from ASPs on these things just a sensitive to Alpha Omega and when their pricing for their customers they all carry a 6digit handle on them and we are very pleased with that business and it's just starting now that the NRC has improved it and what’s happening is customers or universities and nuclear companies, isotope companies are going out, filing permits with the NRC to do a transport and are been told, no you can’t unless you have those cask so I am really excited about this.
 As on further usually the question I get is well how many of these old ones are out there and the reality is no one has a handle on it but I have been given a range of no less than 500 and most people believe to be more than a 1000 of these casks. So there is tremendous opportunity for us as the NRC keeps telling people not to use the old ones and these old ones the permits were for the original NRC requires were over 30 years old so they have changed significantly. 
Gregory Garner: I understand the sensitive for the ASP on that, so I just got to want to get a sense for I know you had mentioned like 500 to potentially 1500 of these are needed over I guess over a couple years of time whenever the replacement time occurs. But might that be in the backlog we already delivered 30 of them or is it. 
Richard Fitzgerald: It's under 10 how about that? Does it help? 
Gregory Garner: Quick question on the medical and then I will go into the queue. So, nice backlog in the medical, so what’s the delivery time on that? 
Richard Fitzgerald: It's starting to come in coming pretty heavy in Q3, Q4, where this is telling -- the backlog been reported about $6 million is all shipping in fiscal ’13, there is none of it peeking into ’14 at this point. And the delivery on that our piece of it is much more scalable and when and how we can deliver, it's the [indiscernible] cyclotron that’s built by another party over in Europe for them that’s the more sophisticated and troublesome timeline piece of that. But --that’s more on the critical path and our timing Greg, we can scale to their needs as long as that other vendor can equally scale. 
Operator: [Operator Instructions]. Our next question is from the line of Walter Schenker from MAZ Partners. Go ahead. 
Walter Schenker: In looking at slide 9, while there is few moving pieces one of which is the sapphire pipeline and they take just us mean, I am talking about 3 months ago. You are just taking it along again to production witness no sales in the first quarter so I think I understand that one.
 The nuclear is also a fair amount versus the number you were looking for 3 months ago, is it a slower ramp in casks or is something else happening in nuclear that’s been pushing volume out. 
Jim Molinaro: Let me comment on sapphire first I have a slide, and just sapphire first, I think we heard kind of sapphire from the low end of the 7 to the low end of 6 and the only concern we had is our customer had an earnings call and they announced a negative book to bill. And so that gives me a concern where I want to be careful and while we have a purchase agreement in place that’s wonderful but anytime you see a customer it's negative book to bill, we're being more conservative. Okay, regarding the nuclear I am not sure what the previous range was, I thought it had the low end range of 6 or 7 so I thought it was OK. 
Walter Schenker: Okay I may not be looking at the last one but I have an April 2012 in front of me which I am not sure is the last one but it's about 3 months ago. 
Jim Molinaro: Yes the last one would have been the July, the end of the earnings call we did on 16th of July. 
Walter Schenker: Okay maybe I am been probably unfair. 
Jim Molinaro: I actually think that’s pretty good, that really hasn’t changed. I think the only thing that changed is we ferreted sapphire down to million but we increased commercial, industrial up a million. We had a nice little commercial contract that makes us feel bullish on that line and so, but I think that’s the only change. 
Walter Schenker: Okay I apologize for looking at April and July but then to go back to the only other question that was asked which is most relevant at this point which is margins. I know you answered it but I will ask it again and we will probably keep asking every time I speak to you. Which is that really at this point, volume is there, the backlog is there, much of Bob changes and personnel have occurred and most of the prototyping is behind you. What is therefore, and you sort of addressed and I am going to make you do it again, what would stand between you and meeting your target not this quarter, so I will give you some running room but in the December quarter? 
Jim Molinaro: Not much that I can think of standing in our way, if he is giving us to December… 
Richard Fitzgerald: If the sapphire market stayed strong all the way through there we see the sapphire market at least as far as our backlog staying strong through the second quarter and into the third. Let’s hope this state be all the way through the third which you will be able to see as we announce orders. That keeps our China division firing along at an appropriate rate and then with regard to our comment, we do not yet have Ranor in this trailing quarter back to its revenue bogie So we should have, we should be getting near to a 10 quarter not a 7 1 or an 8 quarter and that’s where we need to migrate, Walter. 
Jim Molinaro: And what that does when you migrate, when you are hitting that number or 10 plus number, your direct labor, your absorption is extremely high for your workforce, right? So your absorptions are favorable. That kicks the margin up a little. So those are key, so there is the absorption factor in there as well. 
Walter Schenker: Okay but again I am been repetitive. You would expect to be at that level to what you see today in your forecast. 
Jim Molinaro: Yes we see no reason not to be at that level of given our current forecast. 
Operator: [Operator Instructions]. Actually we do have a follow-up question from Greg Garner with Singular Research. Please go ahead. 
Gregory Garner: Just a question on the Chinese facility, the WCMC is there any sense for what kind of utilization rate you are running at right now? 
Jim Molinaro: Pretty high right now, what we want to do with the China division throughout fiscal ’13 is great, we have the solar momentum and now we are starting to ship solar production furnaces. We want to start incrementally adding to the other production customers are qualified and to further build that out. So they are pretty busy now but there is even more we can do over there right now.
 And they are busy now in Q2 doing sapphire volume production, they were not that busy.  The capacity wasn’t as loaded as we like it to be in Q1. 
Richard Fitzgerald: Yes that was primarily, we were just upgrade some repairs to get the efficiencies up. 
Jim Molinaro: And preparation to cut over from one product-line to the other. We have pretty, because we run a sourcing model over there we are pretty scalable and we have identified multiple sub-contractors who can do the work getting them qualified to the customers takes a little bit of time and effort on our part. But we are pretty scalable in our capacity there where as it tends to be bricks and mortar and CapEx budget limited when we are in the state and we own everything [indiscernible]. 
Gregory Garner: As I recall you have 2 facilities over there that are qualified, is that right? 
Jim Molinaro: Yes that is correct. 
Gregory Garner: And are you working out of both of them right now? 
Jim Molinaro: Yes correct, we are working both of them, we are qualified for solar, there is 2 sapphire customers, a Russian company and a Germany company and the products are mixed between those facilities today. 
Gregory Garner: Did I hear that right, you are serving 2 sapphire customers right now? 
Jim Molinaro: Yes. 
Gregory Garner: Okay and I know you have had some other conversation and qualifications with other sapphire manufacturers, or customers I should say. Any sense of those customers turning on the order flow? 
Jim Molinaro: We talked about our largest U.S. customer and they announced earnings results, they are still getting speed up pretty big because their model is not to sell equipment like GTs model, their model is just to sell sapphire and they are trying to sell sapphire to customers particularly in Asia who are buying furnaces from company like GT to do it themselves. So not so sure about this domestic customer is going to have much demand going forward. But in Asia there is a state owned sapphire company that is going through production qualification now and we sit on the inch of the chair waiting to see their results. That’s state owned organic consumption and they would ramp their product lines accordingly. So, we are waiting for the results. 
Gregory Garner: And I remember in the past you have mentioned Jim talking about how if all the interest were to come through for sapphire production there would be an oversupply and so now that those customers are being qualified but they are coming back now to actually place the hard orders, I am wondering how you see that right now, the sapphire market. 
Jim Molinaro: Well I think China very quickly got to an oversupply level when it comes to just the LED configuration, people worry about making sapphire and cutting 1 millimeter squares out of sapphire for LED light bulb. The excitement in the sapphire market and I think if you view it look at GTATs presentation material is focusing primarily on the smart phone and tablet replacements where customers like Apple are working very hard to qualify sapphire to replace guerilla glass. If you start getting smart phone manufacturers and tablet manufacturers to use sapphire versus guerilla glass and that’s a new ball game and I think that’s the importance to make sapphire huge. If it just remains LED light bulbs it can be saturated very quickly. 
Gregory Garner: How long does it take to well I guess really, what’s the pricing difference for the smartphone manufacturers to buy whatever glass they're using now versus LED glass. 
Jim Molinaro: The current sapphire prices are lower than guerilla glass. That’s why they are looking at it, so you get the durability, I mean you wouldn’t have this discussion 18 months ago with sapphire prices right and that’s why a lot of sapphire companies stock was about half[ph] what it was today. But now when you look at the sapphire becoming more of a commodity material with the physical properties to take on guerilla glass now becomes attractive so this is not a performance all sapphire is better than guerilla glass, no sapphire is cheaper and that’s what people are getting excited about. 
Gregory Garner: And the performance is the same I presume? 
Jim Molinaro: Performance is the same. I am not a corning guy to give you the guerilla glass comparison, I am sure they are going to say there is better but sapphire for durability is been used for years particularly in the high-end of watch market like Movado, I mean they have used it forever but it's also why they charged a lot of money for their watches because of the sapphire face.  Because it's extremely durable, that part is proven. It's just was the cost issue now all of a sudden it's being made cheaper. 
Gregory Garner: Okay it sounds like a significant opportunity there if that switch happens. 
Jim Molinaro: And that switch happens then I will accommodate Walter’s question and start raising this entire number in the pipeline part of it but we are keeping an eye on it very closely. 
Operator: Thank you. And there are no further questions at this time. 
Jim Molinaro: Again in closing ladies and gentlemen thank you for joining us and thank you for supporting our strategy diversified Techprecision. That’s the trend we are going to keep driving forward throughout fiscal ’13. So again have a good evening and we look forward to talking to you again during our next call. 
Operator: Ladies and gentlemen this conclude Techprecision’s Incorporation first quarter fiscal 2013 earnings call. Thank you for your participation and you may now disconnect.